Operator: Good day, ladies and gentlemen, and welcome to the Monolithic Power Systems Fourth Quarter 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator instructions] Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, today's conference is being recorded. I'd now like to introduce your host for today's conference Mr. Bernie Blegen, Chief Financial Officer. Sir, please go ahead.
Bernie Blegen: Good afternoon and welcome to the fourth quarter 2018 Monolithic Power Systems' conference call. In the course of today's conference call, we will make forward-looking statements and projections that involve risk and uncertainty which could cause results to differ materially from management's current views and expectations. Please refer to the Safe Harbor statement contained in the earnings release published today. Risks, uncertainties, and other factors that could cause actual results to differ are identified in the Safe Harbor statements contained in the Q4 earnings release and in our SEC filings including our Form 10-K filed on March 1, 2018, and Form 10-Q filed on November 2, 2018, both of which are accessible through our website, www.monolithicpower.com. MPS assumes no obligation to update the information provided on today's call. We'll be discussing gross margin, operating expense, R&D and SG&A expense, operating income, interest and other income, net income and earnings on both a GAAP and on a non-GAAP basis. These non-GAAP financial measures are not prepared in accordance with GAAP and should not be considered as a substitute for or superior to measures of financial performance prepared in accordance with GAAP. A table that outlines the reconciliation between the non-GAAP financial measures to GAAP financial measures is included in our earnings release, which we have filed with the SEC. I would refer investors to the Q4 2017, Q3 2018 and Q4 2018 earnings releases, as well as to the reconciling tables that are posted on our website. I'd also like to remind you that today's conference call is being webcast live over the Internet and will be available for replay on our website for one year, along with the earnings release filed with the SEC earlier today. I'd like to begin today's comments with the two highlights of what was a very successful year for MPS. For the full year 2018, MPS achieved record revenue of $582.4 million, 23.7% higher than revenue from 2017. So $111 million increase in year-over-year revenue was the largest annual gain in the company's history. The 23.7% annual increase was the highest growth rate for MPS since the company redirected its focus in 2010 to the industrial, cloud computing, automotive and high-end consumer markets. Although we cannot escape the current macro-economic conditions, we see momentum in these segments continuing strong for the next several years. This was the sixth consecutive year of double-digit growth. 2018 was a significant year for MPS. On the technology front we widened our lead with BCD 5 solidly in volume production and with the development of BCD 6, a 55 nanometer process designed on a 12 inch wafer. Both of these advancements will significantly increase our product functionality, improve energy efficiency, reduce our solution size, ease our customers adoption efforts and keep our product cost competitive. In addition, we were increasing production capacity both in 12 inch and 8 inch wafer in anticipation of future revenue growth. On the customer front, MPS penetrated a number of new Tier 1 companies in the automotive and cloud server markets, generating initial and meaningful revenue. More importantly, we are co-developing next generation products with a number of these Tier 1 companies that will revolutionalize their industries. We expect these partnerships to drive substantial technological advancements and represent an important source of MPS's future revenue growth. A few examples include, developing specific leading edge system solutions, using QSMod technologies for GPU based artificial intelligence and machine learning applications, using MPS's 48 volt QSMod Technology for both cloud based and automotive applications, working with automotive companies to develop specific solutions for smart driving systems and unique lighting applications with a 2020 target for market introduction. Developing in mechanical relay replacement servicing the IoT and automotive markets, using MPS's high current high density process technology for improve reliability in a compact form. And we completed the integration of high current programmable power modules for communications application such as 5G networks. The target market applications for these modules are base stations and switchers, which require compact and reliable solutions. In addition to these exciting core development projects, 2018 was important as we launched our e-commerce website allowing engineers to design their own customized solutions from their desktop. This catalog of programmable solutions will greatly enhance our customer's time to market, lower their total cost of ownership and optimize the efficiency of their designs. Now let's look at our full year 2018 revenue by market segment compared with 2017. Computing and storage up 57.9%, automotive up 48.6%, industrial up 40.7% and communications revenue up 11.8%, consumer revenue was down 3.0%. Full year computing and storage revenue grew $58.3 million to $159.1 million in 2018. This increased primarily reflected strong sales growth for cloud computing, SSD storage, high-end notebooks and initial GPU power management sales. Computing and storage revenue represented 27.3% of MPS's total revenue in 2018, compared with 21.4% in 2017. Automotive revenue grew $26.2 million to $80.1 million in 2018. This growth primarily represented increased sales of infotainment, safety and connectivity application products. Automotive represented 13.8% of MPS's full year 2018 revenue compared with 11.4% in 2017. Industrial revenue grew $25.6 million to $88.5 million in 2018. This growth reflected sales for applications in power sources, security and industrial meters. Industrial revenue represented 15.2% of MPS's full year 2018 revenue compared with 13.4% in 2017. Communications revenue grew $7.0 million to $70.6 million. This improvement was primarily due to higher sales of our legacy home router and wireless gateway products. More importantly, though, we see initial ramping in the 5G market segment. Communications revenue represented 12.1% of our 2018 revenue compared with 13.5% in 2017. Switching to Q4, while we started to see the impact of macroeconomic headwinds in Q4, MPS still had a record fourth quarter with revenue of $153.5 million, 4.0% lower than revenue generated in the third quarter of 2018 that's 18.6% higher than the comparable quarter of 2017. By market segment revenue for industrial grew 66.6% over the same period of 2017. Computing and storage grew 63.2% and automotive grew 40.2%. Communications revenue - communications grew 27.1%, due primarily to increase revenue from MPS's legacy home router and wireless gateway products. Fourth quarter revenue for consumer fell 25.9% from the prior year. MPS experienced continued weakness in high volume consumer related businesses, with especially the soft demand in the Greater China region. In the fourth quarter, MPS continue to see strong design win momentum. However, many customers concerned about the economic outlook and trade policies delayed their production ramps for new products in automotive, computing and industrial which resulted in a less desirable sales product mix. As a result, fourth quarter 2018 non-GAAP gross margin was 55.6% 50 basis points lower than the third quarter of 2018 and 10 basis points lower than the fourth quarter of 2017. Our non-GAAP operating income was $46.6 million compared to $49.2 million reported in the prior quarter and $38.2 million reported in the fourth quarter of 2017. Fourth quarter 2018 GAAP gross margin was 55.1%, 50 basis points lower than the third quarter of 2018, but 10 basis points higher than the fourth quarter of 2017. Our GAAP operating income was $33.1 million compared to $33.5 million reported in the third quarter of 2018 and $25.1 million reported in the fourth quarter of 2017. Let's review our operating expenses. Our GAAP operating expenses were $51.5 million in the fourth quarter compared with $55.5 million in the third quarter of 2018 and $46.1 million in the fourth quarter of 2017. Our non-GAAP fourth quarter 2018 operating expenses were $38.7 million, down from the $40.5 million we spent in the third quarter of 2018 and up from the $33.9 million reported in the fourth quarter of 2017. On both the GAAP and a non-GAAP basis, fourth quarter litigation expenses were $409,000 compared with $343,000 expense in Q3 2018 and a $340,000 expense in Q4 2017. The difference between non-GAAP operating expenses and GAAP operating expenses for the quarters discussed are stock compensation expense and income or loss from an unfunded deferred compensation plan. Total stock compensation expense including $504,000 charged to cost of goods sold for the fourth quarter of 2018 was $14.8 million compared with $14.8 million recorded in the third quarter of 2018. Switching to the bottom line, fourth quarter 2018 GAAP net income was $27.6 million or $0.61 per fully diluted share compared with $0.71 per share in the third quarter of 2018 and $0.27 per share in the fourth quarter of 2017. Q4 non-GAAP net income was $44.6 million or $0.99 per fully diluted share compared with $1.06 per share in the third quarter of 2018 and $0.82 per share in the fourth quarter of 2017. Fully diluted shares outstanding at the end of Q4 2018 were $45.1 million. Now let's look at the balance sheet. Cash, cash equivalents and investments were $380.5 million at the end of the fourth quarter of 2018 compared to $353.1 million at the end of the third quarter of 2018. For the quarter MPS generated operating cash flow of about $47.6 million compared with Q3 2018 operating cash flow of $52.2 million. Fourth quarter 2018 capital spending totaled $4.5 million. Accounts receivable ended the fourth quarter of 2018 at $55.2 million or 33 days sales outstanding compared with a $59.9 million or 34 days reported at the end of the third quarter of 2018 and the $38.0 million or 27 days reported in the fourth quarter of 2017. Our internal inventories at the end of the fourth quarter of 2018 were $136.4 million, down slightly from the $136.8 million at the end of the third quarter of 2018. Days of inventory rose to 180 days at the end of Q4 2018 from the 175 days at the end of third quarter of 2018. I would now like to turn to the outlook. First, MPS is announcing a 33% increase in our quarterly dividend to $0.40 per share from $0.30 per share for shareholders of record as of March 29, 2019. We are forecasting Q1 2019 revenue in the range of $138 million to $144 million. We also expect the following. GAAP gross margin in the range of 54.8% to 55.4%, non-GAAP gross margin in the range of 55.3% to 55.9%, total stock-based compensation expense of $17.6 million to $19.6 million, including approximately $600,000 that would be charged to cost of goods sold; GAAP R&D and SG&A expenses between $55 million and $59 million. Non-GAAP R&D and SG&A expense to be in the range of $38 million to $40 million. This estimate excludes stock compensation and litigation expenses. Our income is - our other income is expected to be in the range of $1.4 million to $1.6 million before foreign exchange gains or losses; fully diluted shares to be in the range of 44.7 million to 45.7 million shares. In conclusion, despite uncertainty in the macro economy, we expect to continue winning market share in the cloud computing, automotive and telecommunications market. We believe the future is bright. I will now open the phone lines for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ross Seymore with Deutsche Bank. Your line is now open.
Ross Seymore: Hi guys. Congrats on the solid execution. Michael or Bernie, just wanted to get your view on the macro environment. You guys have a lot of company specifics where you can take share, but you're not immune the tide is rising or if it's falling like it is right now. So any color on the linearity of demand you saw and how you view 2019 growth potential relative to what the overall market is doing versus what sort of incremental share gains you guys can take in any number of product areas where you have new design wins?
Michael Hsing: Ross, okay, so good question. All the MPS's growth is from the new product and then - you in the new market segment that Bernie mentioned the automotive and industrials and computing. And in later - in especially in the Q4 last year we see slowing down dramatically. And we asked around our customers and all due to the - it seems to me is all due to the economy uncertainty in the futures. And however in the middle of all of these we see not all the product though stopped, and delayed that their introductions. But some of their end product still introduced or still we have a replacement we gave some market shares. And in 2019 we still expect to grow and we'll have very healthy years, but the percentage - the growth whether the same as the last couple years that we cannot tell.
Bernie Blegen: And if I could add to that Ross, that what we're observing, again, only from our specific position is that the design wins are in place, our end customers are interested in going to market, but there's just not the right conditions for them to invest in that type of new product ramp. And so, I don't have any view as far as how long this will last for when we start to see the improvements come around. But I do - I believe very confidently that we're well positioned to take full advantage of that turnaround.
Ross Seymore: Thanks for all that color. I guess, as my follow-up just on the inventory side, I know you guys have talked about increasing your own internal inventory to be ready for those ramps. So, I guess, a two part question, one is, is that still the case or should that inventory come down if those ramps continue to be delayed? And then two, could you give us an update on what the channel inventory situation is and what your expectations are for that as well?
Michael Hsing: Ross I like that question. The inventory I think we see it there's a lag. Clearly it is very valid. And in this kind of a transitional market conditions we watch very carefully. So that's why I like that question. And of course there's a delay and we see if it's - of course demand is slowing down, we control our - the inventory will come down can we control very highly. Now Bernie you can answer a more on the numbers.
Bernie Blegen: On the second side of that question as far as how the channel performed is what we do is we fill orders based upon our customer demand and that's 90% distributor related. And then, the distributors are creating that demand with those orders on us based on the information they're getting from their customers. And the slowdown occurred during the quarter, so we ended up in a position where the - in terms of both dollars and days that the channel inventories did increase and managing that going forward some of the management of that is reflected in our guidance for Q1.
Ross Seymore: Got it. Thanks guys.
Operator: Our next question comes from line of Quinn Bolton with Needham. Your line is now open.
Quinn Bolton: Hey, guys. I'll apologize because I missed most of the prepared comments, but obviously a slightly weaker guide from March. Just wondering as you look into the full year you typically see a much stronger second and third quarter in terms of seasonality, is there any reason to think some of the near-term effects you've seen that are hitting Q1 extend into Q2, Q3 or should we be thinking about a more traditional seasonal pattern as we get out to the June and September quarters?
Bernie Blegen: Yes, I think when we responded to Ross on this is that we really don't have good visibility, there's a lot of uncertainty relative to the out quarters. So when we look more short-term at Q1 even - let me go back to our Q4 for a second. We've put up some very significant numbers in all of our groups except for consumer, which was most price sensitively impacted by trade and tariffs and the macro particularly in Greater China. So the point that we also observed is that a lot of the new product ramps that our customers were building expectations around have been pushed out in this period in time. And so, it's hard for us to say concretely how that's going to affect our overall growth rate for the year or when do we expect a turnaround to begin.
Quinn Bolton: Okay, great. And then just a second question again I'll apologize. Did you sort of give a backlog number, I think you for most of the past three, four years you tended to be at 80 or so percent of guidance in backlog started in the quarter. Are we in that metric range for the March quarter?
Bernie Blegen: Yes, we are.
Quinn Bolton: Great, thank you.
Operator: Our next question comes from the line of Rick Schafer with Oppenheimer. Your line is now open.
Rick Schafer: Yes, thanks and nice result in a tough environment guys. I guess, I was hoping to understand gross margin at least in the near-term just a little better I know it's obviously softer. I mean, is the primary driver that's just simply mix. I mean, I would have assumed a better mix in 1Q, but are we - Bernie, if you could provide maybe a little more color there what your expectations are by segment maybe it almost seems like consumer is going to be a bigger contributor to mix in the first quarter. And then, the second part of that question is just how fast - if you guys can give any color on how fast that gross margin might rebound?
Bernie Blegen: Sure. So when we look at Q4 let's just start with that. That was clearly mix, because when you look at the influx of revenue into the communications that was predominantly lower margin business and we discussed that in Q3 as well. So the continuation is the same. But then you had some of our high margin and it was pretty broad based. For example SSD, power management for GPUs and a couple of things in industrial that underperformed expectations. And so as a result, those are very high margin and it was - the offset was against lower margin business and that accounted for the 50 basis points. When we look at Q1, we still have some overhang of mix issues. It's not all of it. And even though we don't have a specific number, we are anticipating that we will need to look at our inventory provisions in a different light with lower demand. Again, we've talked in the past that our inventory has a long shelf life and we believe that all the products are ultimately going to be sellable. But the mechanic of how we determine our inventory provision is based upon near-term demand. And that may not support or may support a higher inventory provision. And as far as looking forward, I don't have guidance beyond, but obviously with the new products that when they start to ramp as Michael was describing. Those will contribute very positively and immediately to our gross margin.
Michael Hsing: What foresee going forward if all the new product delays and okay and the margin will stay as close as of now. We don't see a dramatic change. Well, dramatic change is all relative and now we have 0.5% change look it is pretty small to me. And - but we analyze it and that is against our very consistent result in last four, five quarters and that is due to the mix. And all the new product, new revenue high quality revenue gets delayed. And going forward we expect to grow the gross margin very consistently as the economy recovered.
Rick Schafer: Got it. Thanks for all that color. And then just shifting gears quickly to server, you've talked I know in the past about the potential server content for you guys around 50 today, but going to 70 next year. And I'm just curious, because you were talking about 48 volt in your prepared remarks. How much of that 50 to 70 captures any content gains associated with 48 volt core power market share for gains for you guys? I mean is 48 volt a material content driver for MPS?
Michael Hsing: Yes. We actually expected in Q1 2019 and obviously it's actually number is a much smaller I'm like I mean we - so all - actually as we see it, it's not in the first half anyway will be in the second half of 2018 in early part of 2020.
Rick Schafer: Got it, thanks.
Operator: Our next question comes from a line of William Stein with SunTrust. Your line is now open.
William Stein: Great, thanks for taking my question. Based on the backlog and the order patterns would you expect or I should say it seems to me that we'd expect lower than maybe typical seasonality heading into Q2. Is that the right way to think about the model given that you maybe you sort of started seeing this weakness a little bit later than others and seems to be at least a couple quarters of weakness for what everyone else is seeing?
Bernie Blegen: Yes, I don't see there being a quick catalyst that would create a quick turnaround. So I think while we only guide one quarter ahead that I could support that thesis.
William Stein: Okay. And then as it relates to inventory Bernie, I think you mentioned that channel inventory on days and dollars were up again in the quarter. Does your guidance for Q1 combined with what you let's say expect to sell through? Would that support lower dollars and days at the end of Q1 or something different?
Bernie Blegen: It's more likely that we will have been down in dollars, but probably close to flat in days because you have a smaller denominator.
William Stein: Great, thanks, Bernie.
Bernie Blegen: Thank you, Will.
Operator: Our next question comes from line of Tore Svanberg with Stifel. Your line is now open.
Tore Svanberg: Yes, thank you and congratulations on the record year. I'll start here from the macro stuff and I'm pretty interested in BCD 6. Could you elaborate a little bit more what that means for products going forward? I mean, you talked about 55 nanometer and 12 inch wafers, but any other color you could add?
Michael Hsing: Yes. Okay. These are - actually as usual. With every other years and every year we introduce, we develop a newer technologies and that is really our foundation for the future of growth. And so the BCD 6, we said BCD 5 we including memories and now we will include much denser logics. And so now we mentioned - Bernie, mentioned it is a 55 nanometers and we will have those type of logics design. So you can think of that way. We really put entire systems almost single chip, which means we included the microcontroller. And that will give access to lot more market segments and lot more capability.
Bernie Blegen: And then from simply a cost point of view, there is a lower unit cost involved with this process and this geometry and how we choose to deploy that cost advantage will basically depend upon the end market. So for example in consumer that will extend our ability to be price competitive in other markets it'll allow us to improve our gross margins and in others still it'll make us able to with the technological advantage to compete in markets that we hadn't previously been able to enter into.
Tore Svanberg: Thank you for that color. And also you mentioned obviously e-commerce and your website up and running last year. Could you give us some color on how the feedback has been so far, how the learning curve going for customers.
Michael Hsing: Yes, we - yes you call a website. Yes, up and running. But I said we're still learning. As expected actually, this is the very new frontier to everybody it's an - nobody attempted that before. And we still try to figure out why the - when we give the floppy disk it is a lot more effective than we go through a website. So we still try to figure out, there's something obviously is not quite right. But the product itself when we give a traditional ways and give them all the tools and give them CDs and give them download the program everybody likes that. And we see more and more customers would rather use a fixed product and then they choose a programmable parts and they're going - we see a clear direction. And - but how effectively using the website, we're still trying to figure out.
Tore Svanberg: Very good, one last question. Yes, go ahead, Bernie.
Bernie Blegen: I just wanted to caution that I think we've tried to set our expectations around the fact that we would have zero revenue in 2018, zero revenue in 2019 that's not entirely true because we are generating revenue. But then, we'll have a good slow ramp in 2020 and 2021 and it's really 2022 is when we expect it to contribute materially.
Michael Hsing: Are you talking about the e-commerce?
Bernie Blegen: Yes.
Michael Hsing: Yes. And that's strictly sales through a website. And now we see the early - actually we do see some revenues, some meaningful revenues. But in terms of a programmable site and why people just don't use the online tools whether the online tools are not good enough or whether have ordering pattern where that's too difficult for them to order. And in that respect, we haven't generated any revenues on a programmable parts revenue from our website.
Tore Svanberg: Now that's very fair. Just one last question. You mentioned communications coming back, it sounds like that's more kind of your legacy business. Should we assume that the new 5G products will kind of get the gross margin going again and the communications revenue?
Michael Hsing: Absolutely. As I said in - I remember the last year some quarters and I think it's Q2 I mentioned that and we will get some communication revenues and we see the opportunities. And it's even though a lower margin, but is good dollars. And the same time I mention I haven't given up as on the higher margin communications. Once we introduce the right product and we did have it in the - we did have in last year and we just haven't just released it. And now we designed it and when 5G happens we will be on the way.
Tore Svanberg: Very good. Thank you again for the color.
Michael Hsing: All right, thank you.
Operator: Our next question comes from the line of Matt Ramsay with Cowen. Your line is now open.
Matthew Ramsay: Thank you, good afternoon. Bernie, I wondered if you - I guess this is maybe a little bit of a different way to ask Rick's question from earlier around mix in gross margins, but maybe perhaps you could give us a little bit of color by division about how you're thinking a sequential growth or decline in the different business units might be going into Q1. I think that would be helpful. Thank you.
Bernie Blegen: Yeah sure. When we look at mix obviously the traditional way to sort of view it is that consumer is lower and also the legacy comps business is on the lower end. And just as far as the transition from Q4 to Q1 we've guided at about flat gross margin, but the mix is less bad in Q1 than in Q4 because we continue to see growth in our computing and automotive. And then there's some declines in industrial and that you have to have as a backdrop that industrial has the last two quarters really outperformed any of its historic patterns. So that's not coming as a total surprise. And then you have consumer that's doing a little bit of an exaggerated step down from Q4 to Q1. So that's really the mix that we're looking at is computing and automotive are continuing to perform - outperform expectations. And we've got some declines or exposure to both high end low margin opportunities.
Matthew Ramsay: Got it, that's helpful on the mix. I guess, if we look forward in the computing and storage business, if you could remind us again about exactly the mix and exposure to the computing side and the storage side. It seems like there's some catalysts on obviously on the computing side from a share perspective and 48 volt, but this has been a pretty ugly environment on the storage side from a macro perspective. So some update on the mix and how you're thinking about those two different segments there recovering as we go through the year would be helpful? Thank you.
Bernie Blegen: Sure, so storage is a significant part of our business, but it's declined as a percent only because it hasn't grown at the same rate as what we've seen on the compute side. And there was - if you look at last year 2018 SSD in particular ramped very early and sustained that growth all the way through the mid-part of Q3 before starting to decline. In that area I see sort of a stabilization and currently storage if you look at Q4 for example is about a third of that line item. Then when you look at the computing, obviously we've had significant run up in our server and workstation. So that's in an elevated level. And then, as we were talking about earlier is that some initial sales related to GPUs are falling off as that market or those customers take a pause.
Matthew Ramsay: Thanks for the color. I appreciate it.
Bernie Blegen: Thanks
Operator: Our next question comes from the line of Alessandra Vecchi with William Blair. Your line is now open.
Alessandra Vecchi: Hi. Thanks for taking my question. Just on the extension of the end markets or segments in Q1. When you guys commented that you saw sort of new product launches delayed. Was there any particular vertical you're seeing that in? Is it a delay in for the new smart meter industrial products? Is it a delay in automotive products, if you could just give a little bit of color on that?
Michael Hsing: So actually, Bernie mentioned it in the earlier. And we see a pretty much across the board automotive, industrials as well as computing. And is that answer your questions?
Alessandra Vecchi: Yes. Does apologies if I missed it.
Michael Hsing: No. It's okay.
Alessandra Vecchi: All my other questions were answered.
Michael Hsing: Okay, thank you.
Operator: [Operator Instructions] Our next question comes from the line of William Stein with SunTrust. Your line is now open.
William Stein: Thanks for taking the follow-up guys. Any update on the e-motion product revenue traction?
Michael Hsing: Yes. We're afraid of this is too much of a - and yes, we actually starting January pretty meaningful revenue. And the new integrated solutions and as you see it our website, we sell the reference design including the models. And we receive very good feedback on these.
William Stein: Great efforts.
Michael Hsing: But the revenue still it's early ramp is only a ramp, but it's ramping very high percentage.
Bernie Blegen: Will, thanks for giving us a chance to respond, we actually had an internal discussion on whether we had too many items out there. So we're not shying away from it. It's just that we're competing against a lot of other opportunities to talk about.
William Stein: I understand. One other opportunity you mentioned a couple times tonight is 48 volt. I think there's one small semi company that's pretty well known to have a big share in that market. And we're also aware that one of the main consumers is GPUs. Are you seeing revenue for that product today or is it more a couple quarters out? And is it - of course we know automotive is moving in that direction too, but in which market do you expect to generate revenues first how close are we?
Michael Hsing: Actually both and automotive is being in a 48 volts already in the high end cars. I think now it trickle down. And last year we expected to have a - in the second half of 2019 and as we see it probably still going to happen because these are high end product. I think they still are going to launch because the demand still there. Is regardless of the market.
William Stein: Your product, that's competitive and ready and recognizing revenue in the back half of this year?
Michael Hsing: I believe so that in terms of what is impacted to our revenue that's difficult to say now and I think these are high - these IR - these AR systems and you always need somewhere it's just a matter of how many.
William Stein: Got it, thank you.
Operator: Our next question comes from the line of Chris Caso with Raymond James. Your line is now open.
Chris Caso: Yes, thank you. Good evening. Just one question for me, Bernie, could you clarify one of the comments you made earlier on the inventory provisions. You said you need to take another look on that is the right interpretation of that just changing the quarterly reserves that you typically make. What's about the magnitude is there any impact on margins from that?
Bernie Blegen: Yes, I haven't specifically calculated any exposure to what we've done in the forecast for the guidance is just provide a little bit of a step up and the rationale behind it is that we have a mechanical way of determining that number, which is based upon the next six months demand. So it's sort of inferred that if your six month demand looks to be going down that that could increase your likelihood of having an exposure. That's not to call out any specific product or end market, it's just sort of being generally conservative in the guidance we're providing.
Michael Hsing: Yes, as of today we don't see any dramatic change. And it's all small numbers of change. When Bernie is talking about when the market dramatically changes, again it's like in last year December at the end of the quarter. And then well it may changes again. So we at this times we see is pretty normal now.
Chris Caso: Got it. Okay, thank you.
Operator: Our next question comes from the line Tore Svanberg with Stifel. Your line is now open.
Tore Svanberg: Yes, thank you. I just had a quick follow up and back to BCD 6. I think you've talked about having a $17 billion SAM and I'm just wondering what BCD 6 does to that SAM number?
Michael Hsing: Yes, we haven't got to the point yet. That's very good questions and certainly we see in our - in the application that we targeted we can integrate a lot of mini micro control - micro controller features.
Tore Svanberg: And just to be clear, so those micros you would develop yourself, right. I mean you wouldn't buy off the shelf ones?
Michael Hsing: It depends on applications. Some of the - and as we know now, we rebranded and - but we do have our firmware in the micro. And as of - into the total integrated solutions and first of all - so our total integration has a clear reason, has a cost effective and - or by size limitations. And if they integrate it and then we have to - we are not going to give a grown up developed microcontrollers. And those are not cost effective for us and those are we most likely is licensing.
Tore Svanberg: Sounds good. Thank you very much.
Michael Hsing: Okay, thank you.
Operator: And I'm showing no further questions in queue at this time. I'd like to turn the call back to management for closing remarks.
Bernie Blegen: I'd like to thank you all for joining us for the conference call and look forward to talking you again during our first quarter 2019 conference call, which will likely be in April. Thank you. Have a great day.
Operator: Ladies and gentlemen thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone have a great day.